Operator: Thank you for standing by, and welcome to Rigetti's Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Subodh Kulkarni, President and CEO. Please go ahead.
Subodh Kulkarni: Good morning, and thank you for participating in Rigetti's earnings conference call covering the fourth quarter and year ended December 31 2024. Joining me today is Jeff Bertelsen, our CFO, who will review our results in some detail following my overview. We will be pleased to answer your questions at the conclusion of our remarks. We would like to point out that, this call and Rigetti's fourth quarter and year ended December 31st 2024, press release contain forward-looking statements regarding current expectations, objectives, and underlying assumptions regarding our outlook and future operating results. These forward-looking statements are subject to a number of risks and uncertainties, that could cause actual results to differ materially from those described and are discussed in more detail in our Form 10-K for the year ended December 31st 2023, our Form 10-Q for the three months and nine months ended September 30th, 2024, and other documents filed by the company from time-to-time with the Securities and Exchange Commission. These filings identify and address important risks and uncertainties, that could cause actual events and results to differ materially from those contained in the forward-looking statements. We urge you to review these discussions of risk factors. Today, I'm pleased to provide an update and report on our progress at Rigetti Computing. Rigetti recently entered into a strategic collaboration agreement with Quanta Computer, Inc. a Taiwan based Global Fortune 500 company and a global leader of computer server manufacturing with the goal of accelerating the development and commercialization of superconducting quantum computing. Rigetti and Quanta have committed to investing more than $100 million each over the next five years pursuant to the collaboration agreement with both sides focusing on their complementary strengths to develop superconducting quantum computing technologies. In addition, Quanta will also invest $35 million to purchase shares of Rigetti common stock subject to regulatory clearance. Quanta's collaboration with Rigetti is designed to strengthen our position in this flourishing market. Our company's complementary strengths, Rigetti as a pioneer in superconducting quantum technology with open modular architecture, enabling integration of innovative solutions across the stack, and Quanta as the world's leading notebook server manufacturer with $43 billion sales will support us in our goal to be at the forefront of the quantum computing industry. On the sales front, I'm pleased to report that we sold a Novera QPU to Montana State University in December 2024, which was our first QPU sale to an academic institution. The Novera will be located at MSU's QCORE to educate and train scientists and engineers on quantum computing technologies. In addition to being used to create a testbed for quantum computing R&D. MSU's QCORE is a new center of excellence for quantum-enabling technologies, established to accelerate workforce development and the regional quantum innovation ecosystem. I should also note, that in addition to the MSU sale, there was an additional Novera sale in the fourth quarter to the UK government. On the technology front, we launched our 84-qubit Ankaa-3 system in December 2024. Ankaa-3 features an extensive hardware redesign, that enables superior performance. We achieved major two-qubit gate fidelity milestones with Ankaa-3, successfully halving the error rates in 2024 to achieve a 99.0% median iSWAP gate fidelity and demonstrating 99.5% median fidelity with fSim gates. Our newest flagship quantum computer continues to feature Rigetti's scalable industry-leading chip architecture with 3D signal delivery while incorporating major enhancements to key technologies. Ankaa-3 is available to Rigetti's partners via Rigetti Quantum Cloud Services platform and to the general public via Microsoft Azure and Amazon Braket. In other developments, AI power tools from Quantum Elements and Qruise remotely automated the calibration of Rigetti QPU integrated with Quantum machines control system. This work was part of the AI for Quantum Calibration Challenge hosted at the Israeli Quantum Computing Center. The two companies participating in the challenge, Quantum Elements and Qruise, automated the calibration of a nine-qubit Rigetti Novera QPU integrated with Quantum Machines advanced OPX1000 control system and NVIDIA DGX Quantum, a unified system for quantum quassical computing that NVIDIA built with Quantum Machines. This achievement showcases the potential of AI in quantum computer calibration and also highlights the growing collaboration within the quantum computing ecosystem. Quantum Elements, Qruise, and Quantum Machines are members of Rigetti's Novera QPU partner program, an ecosystem of quantum computing hardware, software and service providers who build and offer integral components of a functional quantum computing system. We believe that, another advantage we leverage is our modular approach to developing our technology. By enabling our partners to integrate their technology with ours, we can explore and advance creative and flexible ways to improve quantum computing capabilities. In summary, we believe that superconducting qubits are the winning modality for quantum computers given their fast speeds and scalability. We have developed critical IP to scale our systems and remain confident in our plans to scale to 100 plus qubits by the end of the year with a targeted 2 times reduction in error rates from the error rates we achieved at the end of 2024. We believe, our leadership in superconducting quantum computing continues to be reinforced as we push the boundaries of our system performance as evidenced by the success of Ankaa-3. Thank you. Jeff will now make a few remarks regarding our recent financial performance.
Jeffrey Bertelsen: Thanks, Subodh. Revenues in the fourth quarter of 2024 were $2.3 million, compared to $3.4 million in the fourth quarter of 2023. Revenue is an important part of our strategy to fund our ongoing research initiatives. Renewal of the US National Quantum Initiative, sales to US and foreign governments and Novera are all important to future sales. Gross margins in the fourth quarter of 2024 came in at 44%, compared to 75% in the fourth quarter of 2023. The lower gross margins on a year-over-year basis were due to ongoing revenues from our contract with the UK's NQCC to deliver a 24-qubit quantum system, which has a lower gross margin profile than most of our other revenue. On the expense side, total OpEx in the fourth quarter of 2024 was $19.5 million, compared to $19.7 million in the same period of the prior year. Stock compensation expense for the fourth quarter of 2024 was $3.4 million compared to $3.7 million for the fourth quarter of 2023. Net loss for the fourth quarter of 2024 was $153 million or $0.68 per share compared to a net loss of $12.6 million or $0.09 per share for the fourth quarter of 2023. The non-cash change in the fair value of derivative warrant and earn out liabilities negatively impacted our net loss for the fourth quarter of 2024 by $135.1 million compared to a favorable impact of $4.6 million in the comparable prior year period. The derivative warrant and earn out liabilities are non-cash in nature and Rigetti will never be required to pay cash to settle these obligations. Cash, cash equivalents and available for sale investments totaled $217.2 million as of December 31 2024. During the fourth quarter of 2024, we received net proceeds of $153.3 million from the sale of $88.1 million common shares through a registered direct offering and completion of our at the market equity offering. We also prepaid in full all of the remaining amounts owed under our loan agreement with Trinity Capital, Inc. We believe that our existing balances of cash, cash equivalents and marketable securities should be sufficient to meet our anticipating operating cash needs for at least the next three years based on our current business plan and expectations and assumptions considering current macroeconomic conditions. Thank you. We would now be happy to answer your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Craig Ellis of B. Riley. Please go ahead, Craig.
Craig Ellis: Yes. Thanks for taking the question and congratulations on the partner progress and the Novara QPU sales. So Subodh, I wanted to start off by following-up on the Quanta announcement. And the question is this, can you help us understand the deals Genesis were you reaching out to them, they to you? And over what time period has this deal been gest stating? And is there anything exclusive about any of the technology that you or they would develop underneath the agreement?
Subodh Kulkarni: Thanks, Craig. So yes, it's an exciting partnership announcement we did with Quanta Computers. As our announcement said, Quanta is a large company based in Taiwan with almost $43 billion in annual sales. They are well known for both their laptop as well as server manufacturing. I believe, they have the number one market share in GPU servers right now. So they are a close partner of companies such as NVIDIA, Apple and many other companies. They on their own have been looking around for how is the best way for Quanta Computer to get into quantum computing, because they clearly view quantum computing as the next big thing after GPUs and they've always done that, they have always been on the leading edge of the new technology curves. So they were searching for the right partner. They did their own homework, looked at all the different modalities, decided that superconducting gate-based quantum computing is the most likely modality to win. Within that, we are clearly a leader competing right at the top along with IBM and Google. So we don't know all the companies that they talk to, but they certainly started talking to us close to a year ago or so. So we have been discussing with them for a while now. On our side, we know that we cannot be building the commodity type items of the hardware stack in Berkeley or Fremont, California, doesn't make any sense given the cost structure in those places. So we were looking for appropriate contract manufacturers in the long-term as volumes pick-up, who is the right contract manufacturer for us. So it was a mutual decision where we thought they are the right potential partner given the critical role they play in CPU, GPU servers today. They believe that, we are the right partners from a technology standpoint. Clearly, one of our needs was to have money and that's what they offered is, as you can see, they are buying $35 million of our shares at $11.59 pending regulatory clearance. But more importantly, they have committed to more than $250 million over the next five years to be invested in the non-QPU portion of the hardware stack. So essentially going forward, we will continue to focus as we always have on the quantum chip fabrication part and will be responsible for the whole stack, but we will start relying on them as our contract manufacturer for things such as the control system, the dilution refrigerator, cables and all the other accessories, that are extremely important, but just not that high value add. So we believe it's a right partnership in the long-term. We certainly are counting on them to help us out on that part and certainly, the -- between the cash we already have plus the $35 million, they will give us for shares plus the $250 million commitment, we effectively have close to $500 million right now to be invested in the next five years. So we feel really good about that position and how we can deploy that investment to accelerate the pace of our quantum computing development. Hopefully, that answers your question.
Craig Ellis: Yes, that's very helpful. And I think it is significant that as a leader in first x86 servers and now GPU based servers, they've chosen to partner up with you and certainly with significant financial commitment. The second question I wanted to ask was related to your take on, where we stand with government funding. Recently, there was a bipartisan bill introduced by Senators Daines and Durbin regarding $2.5 billion in potential funding for the US government. Can you just give us an update on where things stand federally in the US and your views on what that might be able to do?
Subodh Kulkarni: Sure. So as you correctly said, there is a bipartisan bill that has been introduced for about $2.5 billion for over five years. Most of that is slated to go to the DOE labs such as Fermilab, Oak Ridge National Lab and other DOE labs that we depend on for our funding. That bill seems to have bipartisan support. There's no indication it won't go through. But as of today, it hasn't been signed yet. We are optimistic that it will get signed here soon and then the money gets appropriated to the right DOE labs. We are hoping that somewhere in the second quarter of this year, the money will start getting appropriated, so we can start getting contracts from those DOE labs. In addition to DOE, DoD has several initiatives going on right now to fund quantum computing. The biggest one being the DoD, DARPA quantum benchmark initiative, QBI. We expect them to make some very important announcements in the next month or so, as to which is the group of companies that they have chosen going forward to build, what they call utility scale quantum computing. Basically, that's like the world's best, biggest quantum computer and that has to be built by 2033 time period and they have several hundred million dollars, more than $300 million in budget for that. In addition to that, there are several other line items in the DoD bill that will be able to fund quantum computing. So overall between DOE and DoD, we are expecting sizable increase in US government investment in quantum computing. We are just waiting for the bills to get signed and the money to get appropriated. But we are pretty optimistic as 2025 rolls along with a -- sizable amount of investments will be available from DOE and DoD.
Craig Ellis: Thank you. And then finally for me before I hop back in the queue, regarding cash, congratulations on getting it to such a significant level. The first question related to that is, does it change at all how you look at near-term intensity for either R&D or sales and marketing? And then the longer term question, since Jeff did indicate potential sufficiency for the next three years or so. How do you feel about its ability to get you to a level where the company is self-funding? Thank you.
Subodh Kulkarni: So as I mentioned earlier, we have $217 million as Jeff mentioned, at the end of last year, plus we have this commitment from Quanta for $35 million plus the $250 million. So rounding off the numbers, we have roughly $500 million available to us for the next five years, which is a sizable amount of money given our burn rate. And as Jeff said, at least for three years, we don't need to worry about cash and probably longer. Certainly, we hope that these government initiatives get funded by the US government, the UK government where we have very good relationships as well as some other friendly governments around the world, that we have been talking to. Assuming those initiatives materialize, we certainly hope we don't need to raise cash. We will certainly look at opportunities, but it's not that we need to raise cash. If those initiatives materialize and we manage to get the contract but clearly, we are in an R&D stage right now. We don't believe commercial sales to increase anytime immediately. I know, there's a lot of discussion going around as to where exactly quantum computing is in terms of sales expectations. Our general view is we are still in R&D. We are still roughly about four to five years away before commercial sales matter, which is why we keep highlighting that it's R&D milestones that are far more important right now than this one-off government type contracts. We certainly welcome those and we want those and as government increases the budget substantially, we will certainly depend on those to help us get to positive cash flow in the next three, four years. But our focus right now continues to be squarely on R&D and making sure, we are in the lead with superconducting quantum computing. Hopefully that answers your question.
Craig Ellis: Yes, that's very helpful Subodh, thank you.
Subodh Kulkarni: Thank you.
Operator: Thank you. Our next question comes from Quinn Bolton of Needham & Company. Please go ahead, Quinn.
Shadi Mitwalli: Hey guys, this is Shadi on for Quinn. My first question is on the QPU sale to Montana State University. Can you guys discuss if the sale to MSU was a competitive process? And if so, what was some of the feedback from the university, that led to them choosing Rigetti's technology?
Subodh Kulkarni: Thanks, Shadi. I mean as you know, we have been building nine-qubit QPU and making it available to commercial customers, particularly academic researchers and government, national life type customers, not quite the classic data center type customers. The real objective of enabling that is to build a quantum ecosystem and it's all for research applications. Clearly the Montana State University is a research case where they are trying to understand the fundamentals of quantum computing. So they are doing basic experiments with those like pulse shape, pulse sizes, really understanding how to design algorithms and those kinds of things. So gets to the fundamental understanding of quantum computing. You are really not going to use a nine-qubit QPU to try to compete with a CPU or GPU. So it's really not meant for any practical application or demonstrating quantum advantage or anything. It's all for research purposes, but it's a nice convenient product to have in your lab where you can get hands on experience. It fits into many of the research customers in this area already have purchased a dilution refrigerator for various reasons and nine-qubit QPUs are relatively simple product that fits into your existing dilution refrigerator. So it's a relatively simple thing to ship, get it integrated into your system and you can start working with it fairly quickly. So it's a fairly user friendly way to get into fundamentals of quantum computing ecosystem. Hopefully, that answers your question.
Shadi Mitwalli: Yes, it does. Thanks for that. And then I want to follow-up on Craig's question, and sorry if I missed this, but is that DOE Quantum Leadership Act, the same bill as the National Quantum Initiative Act, but reintroduced as a different name? Or are these two different bills going through Congress?
Subodh Kulkarni: No, there's only one bill. Right now, it is the same one that Craig mentioned introduced by Senators Daines and Durbin. It's a $2.5 billion initiative over five years.
Shadi Mitwalli: Got it. And I have one quick modeling question. But what can we expect the share count to be in Q1?
Jeffrey Bertelsen: Yes, I think, in terms of share count, we ended the year at 200 million -- call-it 84 million shares. So I would think let's say, 290 million would be my estimate.
Shadi Mitwalli: Awesome. Thanks for taking my questions and congrats on the progress.
Subodh Kulkarni: Thank you.
Operator: Thank you. Our next question comes from Krish Sankar of TD Cowen. Please go ahead, Krish.
Steven Silverman: Hi, thanks for taking my questions. This is Steven calling on behalf of Krish. Subodh I guess first one for you regarding technical milestones for the year, specifically on the scaling front for the nine-qubit modular tile architecture. So I know you guys have a target of reaching 36-qubit chip by middle of this year and then over 100-qubits by the end of the year. I was just kind of wondering this level of scaling, should we assume that, that rate of scaling can continue in future years as well? Or are there certain physical limitations to the packaging or processing -- process in terms of like reticles or signal integrity so on and so forth? And also related to it from a error rate standpoint, you mentioned having or yes, 2 times reduction in error rates by the end of this year. Just wondering, if all of the I guess, the aggregate of different software algorithms and other improvements that you guys are working on both internally and with partners, can that error rate be outperformed or better than you currently are estimating?
Subodh Kulkarni: Sure. All very good questions, Steven. So I'll try to answer them. So regarding -- let's take an assessment of where we are. First as a modality. I mean, you can clearly see what's going on in the quantum computing world with superconducting gate-based quantum computing. I mean, between our announcement plus Google Willow Chip announcement, plus the recent announcements from companies like Amazon, Microsoft, even the Chinese Academy of Sciences, which is the government of China's sponsored organization. To us, it's becoming amply evident that superconducting gate-based quantum computing is the most likely winning modality here. I mean the amount of investment going on from all the large companies and organizations. But look at the data. I mean, collectively, we are in the roughly 100-qubit range right now collectively, we are in the 99% to 99.5% median two-qubit gate fidelity. We are in the tens of nanoseconds gate speed, which I'll point out is 10,000 times faster than some other modalities like trapped ion or pure atoms. And we are already deploying real time error correction with low latency. We did that, Google did that with their Willow Chip announcement. So when we look at collectively, where superconducting modality based quantum computing modality stands to us, it becomes very clear that this is the modality that's most likely going to win. Now within that, we have our share of challenges. None of us, none of us are demonstrating quantum advantage yet. And I'll say, that across the board for all modalities. I mean, you will hear all kinds of hype going around and there's a lot of hype going around in quantum computing, but none of us have demonstrated quantum advantage. We are all getting to that point. And at least from the superconducting gate-based quantum computing side, we believe, we need to get to several 100-qubits, maybe 1,000-qubits. We need to get to like 99.7% median two-qubit gate fidelity, maybe 99.8%, less than 30 nanosecond gate speed and real time error correction, to demonstrate quantum advantage and that's where our roadmap and I believe IBM, Google's roadmap is comparable to ours. We are all looking at roughly about four, maybe five years to demonstrate quantum advantage and commercial business to take off. Now having said that, how do we get from the current about roughly 100-qubits? We are all at to a 1,000-qubit, and that's where I think different approaches start coming in. Our view is that chiplets is a key tool that we are planning on using to scale up and we did some early work with 40-qubit chips in the like about two, three years ago, then more recently, last year, we did more with 9-qubit chips. We demonstrated a couple of different times that you can tile chips and still maintain all your quantum effects and see no deterioration in performance, which is a huge important milestone to demonstrate. Having done that twice now, now this is the year, we have decided to start deploying it in a more of a volume manner. So our first important milestone is demonstrating 4 times nine-qubit, so that would be 36-qubit by the middle of this year and demonstrate 99.5% or better median two-qubit gate fidelity. And assuming we are successful and we are fairly optimistic we will be successful with that milestone, then bump it up to more than 100-qubit by the end of this year. It certainly is a big milestone for Rigetti, but we believe it's a huge milestone for the whole industry, because it's the first time anyone of us is going to show a real path to get to 1,000-qubit. Right now, all of us even though we are at 100-qubit, we know that getting to several hundred qubits from where we are right now with a single monolithic chip is a challenge. We see that in our data, we believe IBM tried to go to 430-qubits a year ago and they had some challenges, which is why you don't find it deployed right now. And certainly, when we look at other modalities, I don't even think they are anywhere close to what we are talking about 100 and 100 of qubits and stuff like that. So our view is that chiplets is a critical technology. We have shown that it works in quantum computing. Obviously, the CMOS world has shown that chiplets are critical. I mean, if you look at any high end applications with CMOS today, most of them do use chiplets and there's a good reason for that, because it's lot easier to control uniformity and performance over a smaller dimension chip, physical dimension chip than a larger dimension chip. So it's no reason for us to reinvent the wheel. So we are using all the learnings from the semiconductor industry and CMOS industry in specific and deploying chiplets, we feel pretty good that we will demonstrate 419 by the middle of this year and then we'll bump it up to over 100-qubit. And assuming we are successful with that, that we believe is a really good way to scale it up to several hundred and several thousands of qubits. Just to give you a feel, our nine-qubit chip right now is six millimeter by six millimeter and we certainly think we can shrink it down by a factor of two and that's fairly standard with using conventional semiconductor technologies. We could even get more aggressive and reduce it further. But even with the current dimension, if you take a one meter by one meter panel, you can fit in more than 0.5 million qubits and certainly, we believe dilution refrigeration technology will advance enough for us to maintain cold temperatures across a meter by meter square panel in about five years. And so we feel pretty good that, we should be able to get several hundred thousand qubits, maybe even more than 0.5 million qubits in about five years or so by using the chiplet approach. You correctly pointed out that, the challenge does become packaging to some extent, so we will have to improve the way we are packaging to chips and you're doing it only for 4 or 10 or even 100, you can do manual or semi-manual methods. Certainly, when you're dealing with thousands and ten thousand, you will need to automate that. But you look at the current state of advanced packaging from the semiconductor industry side, there are several advanced processors that have been developed and we will be able to leverage them and take advantage of them. So putting together several hundred thousand tiles, if you will, and certainly several ten thousand tiles is not that challenging given the state of art in semiconductor industry. So pretty exciting roadmap. We feel pretty good about it. That's our path to get to several hundred thousand qubit and like the utility scale quantum computer that DARPA is challenging all of us with. So hopefully, I answered most of your questions. Did I miss any?
Steven Silverman: It was very helpful, a very constructive explanation, Subodh. Thank you so much for that. And just one quick follow-up for Jeff on the P&L and the cash flow side of things. In terms of the Quanta Computer collaboration and I guess the $100 million that you guys are committed to, I guess, investing from your side, is there -- how should we think about like the expenditures of that $100 million over five years. Is that really like a cash investment in terms of equipment of some sort? Or is that just in the course of existing R&D and will it flow through OpEx or CapEx? Any details there would be helpful. Thanks.
Jeffrey Bertelsen: Yes. I mean, it really is a continuation of our ongoing R&D efforts. So it really will flow through OpEx, in the context of our R&D team and with our capital plans and so on. So, I don't think from our side, you really see anything too different other than the benefits that we're going to get from partnering with the Quanta and taking advantage of their expertise in areas outside of QPU.
Steven Silverman: Thanks, Jeff. And just as a follow-up, I guess the that incremental $100 million spending does that represent a step-up to sort of annual spending or are there offsets to account for that?
Jeffrey Bertelsen: No. I mean in our side, it really is a continuation of our ongoing R&D efforts. So there really isn't any specific step-up per se at all on our side. On their side, they've committed to investing $250 million in furthering our roadmap and so on.
Steven Silverman: Perfect. Thank you so much.
Subodh Kulkarni: Thanks, Steven.
Operator: Thank you. Our next question comes from Richard Shannon of Craig-Hallum. Your line is open, Richard.
Richard Shannon: Great. Thanks, Subodh, Jeff for letting me ask a couple of questions. I guess my first one, Subodh, is following-up on the prior discussion here on the roadmap for this year. I specifically wanted to ask about the approach to getting to the 100 plus qubits this year. Is this using kind of the tiling approach kind of extending on the 4-by-9 one that you said you're trying to hit midyear or is this kind of based on more of the monolithic one Ankaa-3? Can you kind of help us understand what the scaling approach here is?
Subodh Kulkarni: Certainly, our roadmap is relying on tiling to hit the 4-by-9 demonstration first by the middle of this year. Assuming we succeed with that, we will go, let's say, 12-by-9 to get more than 100-qubit like 108-qubits or something like that. But we certainly have the option of using the monolithic approach, which is what others like IBM and Google are doing right now and we have done all these years too. So we certainly have the option of bumping up the 84-qubit chip to a higher qubit count. But we believe tiling is the right way to go in long-term. So we are going to definitely try to get first the 4-by-9 and assuming that succeeds 12-by-9 or something like that.
Richard Shannon: Okay. So we're just kind of a one track approach here in terms of using tiling going forward here, not because there been more of kind of a demonstration or will be entirely focused on tailwind going forward. Is that fair to think?
Subodh Kulkarni: Yes, it's fair to think. And the main reason for that is because we can see in our data that going the monolithic chip approach is going to be extremely difficult once you are in the several hundred qubits going to several thousand qubits. As I mentioned in my previous answer, IBM tried a 430-qubit chip and there is a reason why they haven't deployed it, we believe, because they also ran into the same challenges that we are seeing. And I mean, the whole CMOS industry has learnt it for a decade now, right. It's very hard to build a large single monolithic chip. So we are finding the same issues. The root causes are exactly the same, uniformity and yields and those kinds of things. So given all the information we already have, we decided that timing is the right way to leverage the chiplet approach that the CMOS industry has done such a great job and rely on that. Once we have proven that the quantum effects can be sustained across an interposer with chiplets, then the path becomes very clear for us. But it's important to keep demonstrating one at a time. So we will demonstrate 4-by-9 first. We already did the work with 2-by-9 last year and 2-by-40 a couple of years ago, although at that time the fidelities were not as good as what we are dealing with right now. Now we are dealing with 99.5% type nine-qubit chips. So we want to make sure that when we tile them, we don't see any deterioration in the fidelity performance. So it's important to demonstrate 4-by9 at 99.5% by the middle of this year, assuming we succeed. Certainly our roadmap will be very tiling oriented.
Richard Shannon: Perfect. Thanks for that, Subodh. My second question is following-up on one of the topics you mentioned in the press release as well as again the press release on this topic, I think in December and January. Regarding joint research with QphoX and Qblox here, maybe if you can just kind of talk us through how this accelerates your scaling and fidelity roadmap, that would be great to hear about as well?
Subodh Kulkarni: Sure. So it was an exciting announcement we did with QphoX and Qblox and it gets into a signal-in, signal-out. Right now, we are using Coax cables to send the signals to our chip and get the signals back from our chip. And most of the industry, we believe does that right now. We are all looking at -- but there is a reason why we want to move away from coax cables and the main reason is cost and the physical dimensions of a coax cable. Right now, we are all in the 100-qubit range, even 150 or 200-qubit range is not a big deal, we can live with coax cables. But once you go to 1,000-qubits and 10,000-qubits, the cost with coax cables will be prohibitively high and the bigger issue is physically you don't have enough space in your dilution refrigerator unless you start building monster dilution refrigerators, itself be very expensive. So we need to find a more practical way to get the signal-in, signal-out. So we are looking at flex cables. We have a lot of IP in that area and we'll certainly start deploying flex cables. But these are not your standard off the shelf flex cables because we are dealing with superconducting temperatures. So there's a lot of materials and process innovation that's going on in flex cables and we are working on that. Some other companies are also working in that area like IBM and Google, I believe. So we will first go from coax to flex. But beyond that, we need to think about even at like 100,000-qubits or above, even flex cables will have their share of challenges in fitting into a DR. And that's where optical signaling comes in. So a lot of work has been going on with converting our microwave signal, if you will, or our RF signals into optical signals, the key part about our joint work that we published in nature in December was using fiber optics. So instead of open air optics, now we are dealing with fiber optics signal-in, signal-out, that makes it a lot more practical to build a system instead of just open air optics. So it's a key technology demonstration that you can use fiber-optics to get the signal into a superconducting chip and get the signal out. Now that that is available, we will certainly start investigating fiber optics and at what point should that come into our roadmap. As of today, we haven't decided when to go from coax to flex to fiber optic, but certainly by the time we reach several hundred thousand qubit, we believe we will need to be with fiber-optic cabling. So hopefully, that answers your question.
Richard Shannon: That is helpful. Thanks for all that, Subodh. My last quick question here is just on the DARPA benchmarking project or opportunity here. I think you said you expect some decision here in the not-too-distant future. Maybe you can help us understand the process for this award here or is this not even the end step here? And then what opportunity do you see from a revenue perspective over-time if you're successful in winning part of that?
Subodh Kulkarni: Yes. So DoD's DARPA agency effectively has invited proposals from anyone and we certainly have submitted the goal and you can go to the website and see a lot of the publicly disseminated information. The goal is to build a utility-scale quantum computer by 2033. And really what it means is, you can practically do anything that your classical computing can do, but much, much faster and much, much cheaper than what your classical computing can do. It's really effectively a moonshot type effort. This is like the US government's official, let's build a world's best biggest quantum computer type project, man on the moon kind of a project. We certainly have applied. I'm sure others have too. They have said that they will make a decision here soon, hopefully this yet -- this month. Typically, the way DARPA projects of this kinds of complexity work is they choose a handful number of companies to and then they ask those companies to demonstrate the next set of milestones and then they'll pick a couple of companies, maybe one company. Overall scope of the project is somewhere in the $300 million plus range. I already told you the timeline is before 2033. We certainly -- our goal is to be the last company out there and build the computer. So this will be the world's biggest best quantum computer to be delivered to DARPA by 2033. But there are various hurdles to go through. We certainly believe our technology is in a very good shape to make a compelling case, particularly with the superconducting gate-based modality, as I said, in our view and based on all the announcements you're hearing from other companies too, it becomes pretty amply evident to everyone I believe that the most likely modality to win is superconducting gate-based modality. Within that, with our open modular approach, the chiplet IP that we have, we believe we are fairly well positioned to try to win the DARPA project. So we certainly are excited to be participating in it. We look forward to their selections and we'll continue to work on our technology program. Having said that, we will continue to work on our technology milestones. I mean, DARPA is a huge opportunity and lots of money associated with it. But there's a bigger market out there. I mean, we have already said that the market is -- we believe like a couple of billion dollars five years from now for all these national labs and universities and we believe the market is going to be like $100 billion plus in about 15 years from now. So certainly an exciting opportunity. So as important as the DARPA project is and we certainly want to be winning that one because that clearly demonstrates technology leadership, the bigger potential, of course, is the commercial world and $100 billion plus opportunity, that we'll continue to look at. So again, I hope I have answered your question there.
Richard Shannon: That was very helpful, Subodh. That's all from me. Thank you.
Subodh Kulkarni: Thank you, Richard.
Operator: Thank you. Our next question comes from Brian Kinstlinger of Alliance Global Partners. Your line is open, Brian.
Brian Kinstlinger: Great. Thanks so much. First, you mentioned your plan to scale through tiling right now, given the challenges that all of the superconducting OEMs have, is their approach scaling also through tiling? Are they trying to figure it out? Where are they with tiling compared to you?
Subodh Kulkarni: So certainly, we are relying on tiling. I believe, IBM has made some statements suggesting that they are also considering tiling. That exact dimensions will be different, but I believe, we have discussed tiling openly. We are not quite sure of Google and what exactly their plan is at this point. They did indicate in their paper, when they published revenue results that they have some share of challenges to go up from where they are. They are using what we call perimeter wiring right now. So all of their circuit is basically designed in 2D and to increase the qubit count, they have to keep increasing the perimeter, if you will, of the chip, which you can do up to a certain point, but not beyond that. So we believe, Google will first move to 3D, which is what we and IBM are doing right now and beyond that, they will probably consider tiling too, but we are not quite sure because they haven't disclosed all their details. But certainly, we are on tiling, IBM is considering tiling, and frankly, we view the three of us as the leaders in this space. We are not quite sure of what the Chinese Academy of Sciences is considering. It's very hard to get information from there.
Brian Kinstlinger: Yes.
Subodh Kulkarni: And regarding the rest of the superconducting, I mean, even though they are large tech companies like Amazon and Microsoft and many other smaller companies. I mean, Amazon's most recent announcement, they were still talking eight-qubits and same with Microsoft. So even though they are much larger companies than they are in terms of quantum computing, I believe, they have some serious work ahead of themselves to get to the 100-qubit type level that the IBM and Google are at right now. So we certainly view ourselves along with IBM and Google in the leadership position and how we go about solving this, scaling a problem. I'm sure, the other companies will be looking at us.
Brian Kinstlinger: Great. My follow-up that kind of leads into the next one, with your open source architecture, what does Amazon's announcement about faster and more cost efficient air correction mean for Rigetti versus the rest of the superconducting quantum OEMs? And then my second question is, as organizations like DARPA, DoD and others evaluate you, do they communicate being more excited about an open source flexible architecture or does that not yet come up in the discussion?
Subodh Kulkarni: It absolutely comes up in discussions. When we talk to national labs, not just DARPA, but DOE and other government national labs too, the fact that our architecture is open and modular in nature is a significant plus in our favor, because fundamentally, it allows creative innovative solutions from other third parties to be incorporated relatively easily. I mean, IBM and Google obviously are doing a great job of building a quantum computer right now along with us, but theirs is a more mainframe like approach right now and again, we don't know what the Chinese Academy of Sciences is doing, but I suspect it's a mainframe like approach too. And then, that's great because you control all aspects of the full stack. But it's very hard to integrate a innovative creative solution in that kind of an approach -- with that kind of an approach, whereas with our open modular, we can relatively easily do that. So specifically, I mean Riverlane in UK, Cambridge, UK is a company that developed some really good error correction software and we started integrating that in our systems last year and that's how we showed a real time low latency error correction, which is a very important milestone in the industry. And this new announcement by Amazon, even though the chip is being built by Amazon itself the eight-qubit chip, I mean, the real value in their paper is the error correction software and certainly, we will be open to looking at integrating that error correction software, if they choose to decouple it from their chip and I suspect they may be incentivized to look at other 100-qubit type high performing chips. So certainly opens up the avenue where we can integrate creative innovative solutions from third-parties quickly into our stack.
Brian Kinstlinger: My last question is a really quick one. I just want to make sure, I have the numbers right. If you get to 100-qubits at 2 times better error rates, just help me do the math, what is 2 times better? Is that 99.75%? What is that actual fidelity rate that is 2 times better?
Subodh Kulkarni: So the reason we said 2 times and not the exact number is, because we have started using two numbers now in our fidelity, right.
Brian Kinstlinger: Yes, confusing.
Subodh Kulkarni: Yes, exactly. So we use 99.0% with what's called as an iSWAP or a CZ kind of gate gets really geeky at this level, different kind of gates. And then there's a unique gate that we call fSim gate where we get 99.5% today, that's what we have today. So when you have multiple gates, you're monitoring facility now, that's why we decided to start using the Phase 2x reduction in error rates across both of them. So the 99% will go to 99.5% and 99.5% will go to 99.75%.
Brian Kinstlinger: That's correct. Okay. Makes sense. Thank you so much.
Subodh Kulkarni: Thank you, Brian.
Operator: Thank you. Our next question comes from David Williams of The Benchmark Company. Please go ahead, David.
David Williams: Hey, good afternoon. Thanks for taking my question. And I'm jumping on late here so excuse me if this has already been asked but Subodh, you talked about in the past your architectural and your IP differentiation and you talked about maybe Google and some of the others where you really can differentiate yourself from an IP perspective. Can you talk a little bit about what that means relative to maybe some of your competitors? What [Technical Difficulty] they should have a real advantage?
Subodh Kulkarni: So within the superconducting gate based quantum computing companies, suddenly we monitor IBM, Google very closely and we cannot really monitor the Chinese Academy of Sciences that closely. And as I mentioned in an earlier question, even though Amazon, Microsoft play in this general space, they are at fairly low qubit count right now like eight-qubits and the rest of the start-ups or smaller companies in superconducting gate-based are quite distance behind us right now. So the two companies we basically look at very closely from what exactly they're doing are IBM and Google and I'm sure they are monitoring us too. And IP becomes a very critical part. We have close to 230 patents right now that is a core value of the company. So how do we differentiate from IBM and Google? The main thing is our architecture. We just were talking about it. We have an open modular or stack approach versus they have more like a mainframe approach. The other area where and we are -- and believe the open modular approach is better in the long-term because it allows us to integrate creative, innovative third-party solutions much more easily. That's why we continue to invest in that approach. The other area where we have a clear differentiation from them right now is the whole chiplet area. Our plan, we have already demonstrated, chiplets in quantum computing once with 40-qubits last year with nine-qubits. Our plan is to scale-up multiple chiplets different to your tiles to get to 36-qubits first and then more than 100-qubits by the end of this year and then take that approach to continue to speeding up from there. We believe IBM will do something similar based on some of the statements they have made, Google hasn't made their plans very clear as to how they plan to scale up to 1,000 and several thousand qubits. So we will look at that. And then there are some other more details -- gets into more details of how we design the chip and fabricate the chip and the rest of the stack and the differentiation that comes in. We have talked in the past about a proprietary annealing process called ABAA where we are doing DC pulses effectively through the entire area of the qubit. We believe, our competition is doing laser annealing type approaches. We believe, the ABAA annealing is a lot faster, easier to scale-up compared to -- and it's actually more uniform and controls the frequency targeting a lot more precisely than the annealing approaches. And then there are some -- we touched on earlier on flex cables and that kind of stuff. There are probably 10 other things that how we differentiate ourselves from them really gets into the details and the patents and how we file the patents and the scopes that they cover and so on. But hopefully, that gives you a feel for how we are differentiating. The main differentiators are our open modular architecture, chiplet approach and a few other things like annealing.
David Williams: Great. Very helpful. Thank you for that. And then maybe just as a follow-up, do you think that your IP is compelling enough that over time others will need to develop around your IP or how do you think about maybe consolidation, just given your rich patent portfolio and what that would mean for some of the others?
Subodh Kulkarni: I mean, that's the whole goal of patents, right. I mean, when you come up with creative innovative ideas, you file patents and you try to get as broad coverage as possible. So when others try to essentially copy that idea, they are forced to either find a completely different route, making it inefficient or have to seek a license from here. I think it's still too early, David, to know all the answers. I mean, clearly, IBM and Google are gigantic companies and they have their own patent portfolios. Usually in cases like this, most of us in the R&D field, who have dealt with these kinds of complex patent portfolios. We find ways to collaborate and cross license in critical areas. Sometimes it can be licensing terms and we just -- we want to make sure the ecosystem is healthy and stays healthy and everyone gets fairly compensated for the work they have done. So at this point, where we are clearly in R&D, the goal is to get the technical milestones demonstrated, get patent portfolio established. Over time, we'll see how the licensing and cross licensing scenarios evolve.
Brian Kinstlinger: Perfect. Thank you. And then just one last, if I may. Just on the customer demand for QPUs, could you talk a little bit about how that demand is and if you're -- how you think that maybe trends through this year?
Subodh Kulkarni: Yes. Certainly, we see excitement growing about quantum computing, people are beginning to -- it's no longer a question of -- if it's a question of when, everyone seems to understand that when we talk to them. But clearly, it's still in R&D stages. Unlike some other companies, we believe we are still four to five years from commercial applications of quantum computing in a meaningful way. I know there are some companies who claim they have quantum advantage or near quantum advantage now, but those are for very select niche kind of applications. There's a lot of overhyping, under-hyping going on in quantum computing right now. So, our view is that, we are still very much in R&D. We need to get to like several hundred qubits at or thousand qubits, 99.7% or 99.8%, less than 30 nanosecond gate speed and real-time error correction before we can start showing quantum computers to data center managers and demonstrating ROI. And we think that's at least four or five years from now. And that's more or less consistent from a timing standpoint with what you hear from IBM and Google too. So I don't think we are that different than IBM or Google right now in that sense from a timing standpoint. So our view is all the customer demand, if you will, as you called it, is mostly from academicians and research people, mostly to understand the fundamentals of quantum computing and that's why the numbers are going to be relatively small. Yes, sales matter and we want to continue to grow, but our focus is clearly on R&D milestones right now and making sure the technology is perfected before we worry too much about customer demand and uptick in sales.
David Williams: Great. Thanks so much.
Subodh Kulkarni: Thank you, David.
Operator: Thank you. Our next question comes from Craig Ellis of B. Riley. Please go-ahead, Craig.
Craig Ellis: Yes, thanks for taking the follow-up question. It's really just a clarification on some of the things that were part of fourth quarter's announcements. And I suspect it's mostly for Jeff. Regarding the two QPUs that were sold, one to the US academic institutionally, the other to the UK, did those both fully RevRec in the quarter? And then, Jeff, I think you said there was still part of a UK system sale that existed in fourth-quarter sales. Where are we in fully RevRecing that system? Does it trail into 2025? And if so, to what extent? Thank you.
Jeffrey Bertelsen: Sure. The two Noveras did fully RevRec in Q4. And then regarding the kind of the larger ongoing sale to NQCC, that revenue has been taken over time and it will be largely complete in the first quarter, maybe a little bit moving into the second quarter, but don't really expect anything from that in the latter part of the year.
Craig Ellis: Got it. Thanks, Jeff.
Operator: Thank you. I would now like to turn the conference back to Subodh for closing remarks. Sir.
Subodh Kulkarni: Thank you for your interest and questions. We look forward to updating you with our progress at the end of Q1. Thanks again.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.